Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Edenor's First Quarter 2021 Results Conference call. We would like to inform you that this event is being recorded. And all participants will be in a listen-only mode during the presentation. After the company’s remarks are completed there will be a question-and-answer session. At that time further instructions will be given.  Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Edenor's management and on information currently available to the company’s. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Edenor and could cause results to differ materially from those expressed in such forward-looking statements.
Leandro Montero: Thank you very much. Good afternoon – good morning, everyone, and welcome to Edenor's Earnings Conference Call for the First Quarter 2021. I truly hope that you and your family are safe and healthy, and we really expect the vaccination process to continue to be successful and help us to return to normal life. As we usually do first, we will focus on the main events that recently took place and then briefly review the results of the quarter. As you know, you can always call member of our team for more details on the results of the period or any doubts you might have. I'd like to first acknowledge the extraordinary efforts our staff has made to continue giving service to users while managing high-quality and security standards, given the unique circumstances we face, and we are still facing in Argentina and in particular in our operating area with the COVID-19 second wake outbreak. With that said, we will focus on the relevant events taken place lately. First, on March 31, pursuant to ENRE Resolution number 78, the regulator issued the new tariff schemes effective as from April 1, based on the wholesale electric markets winter seasonal programming. The new tariff scheme reflects the incorporation of the last increase of 5% with the exception of residential users in August 2019, as provided by Resolution number 14 of that year of the secretary of renewable resources and electricity market, which have not been passed to tariffs and was being burdened by Edenor. In turn, the seasonal price increase for large distribution users is also incorporated, making them equal to the rest of the large wholesale electric market users. These increases reflect changes in the seasonal price of energy that are transferred to the final tariff without affecting Edenor's income from the value-added by distribution or VAD. Regarding VAD, on March 30, Edenor filed its presentation in the public hearing, addressing the distribution's transitory tariff update. Later on April 13 and pursuant to resolution number 107, the regulatory entity established a new tariff schemes including a 9% tariff update applicable to users for regions as from May 1st this year. This partial update involves a 20.9% VAD increase for Edenor generating higher estimated revenues in the amount of ARS 5 billion for the May, December period. In other matters on April 30, 2021 and pursuant to resolution number 371, the Secretary of Energy moved forward with the regulation of Section 87 of the 2021 budget. This resolution provides for the application of the Special Liabilities Regularization Regime approved in resolution number 40 earlier this year, which set a limited number of credits to be applied to compensate CAMMESA bill according to the following criteria.
Operator: Thank you. The floor is now open for questions.  Our first question comes from Ezequiel Fernandez with Balanz. Please go ahead.
Ezequiel Fernandez : Hi. Good morning, everybody. Ezequiel Fernandez from Balanz. Thank you for the materials and congratulations on the work on lowering losses and the quality of service side. I have two questions. The first one is related to the seasonal price. I know that it does not impact your operational results directly, but it's helpful for us to know about the update in April for the GUDIs. What was the percentage increase for the overall average seasonal price?  And my second question is related to the regularization of the payables with CAMMESA. Right now, Edenor has something of $400 million in pending payables including different components too. Where do you think you should go maybe till year end? And at what pace if it's possible to comment a little bit on that? Thank you.
Leandro Montero: Hi, Ezequiel. Thank you very much for your words about the quality of service and energy losses. We are trying to control. First, regarding the seasonal price in the case of Edenor, the seasonal price had an impact of 11% average almost 11% average on the whole purchase of Edenor to the whole purchase of energy of Edenor to CAMMESA. But this increase as you mentioned before it will include two components. The first one is for all the demand for consumptions higher than 300 megawatts -- sorry kilowatt they are impacted by 5%. This increase its remaining increase or an increase that has been included to the CAMESSA bill in August 2019, but it has not been passed through to tariff. So it was being burdened by Edenor. And the company
Ezequiel Fernandez: Okay.
Leandro Montero: No, no, the other components of the seasonal price increase is increased for Goodies as you mentioned before. And for Goodies it's almost 100% increase in the cost of energy included in their tariff okay? So I'm going to -- can you repeat the second question, sorry? About initial debt.
Ezequiel Fernandez: Yeah. On the amount – yeah, the amount of account payables in the Edenor balance sheet at the end of March is around $450 million. That includes different components. And considering that you will have to start normalizing your payables with CAMMESA, we were wondering from these levels to where you could go by year-end, if it's possible for you to give us any indication at this moment?
Leandro Montero: Well it's not so simple. First, first of all ,I can say that during the first quarter this year we paid to CAMMESA the -- on average 83% of the bill, okay? So we just increased our debt with CAMMESA for around ARS 2.4 billion, which is this remaining 17% average. So that was the first quarter. Now to make an estimation on how much that we will have at the year-end, we should expect or we should wait which other measures the government will take. By the moment, they approved an increase for the VAD of about 21% which means that for the period May-December this year, we will collect approximately ARS5 billion or more. This increase, of course, doesn't cover the full cost of the company. Just to have an idea, according to the internal tariff review, we should have received an increase of almost 137% applicable from May 1st. But instead, we received an increase of 21%. So we are still waiting for another 122% increase in VAD, okay. So we know that this will not happen during this year or at least not for the full amount. So we are discussing with the government, which will be the following steps. Maybe we are trying to get to an agreement in order to complete the remaining amount of money we need to operate to complete the CapEx plan. So it depends on this agreement, we are trying to reach with the government. It depends on another agreement we are trying to reach with the government according to shantytowns consumption that could mean ARS1.5 billion in addition to our revenue, or at least to cover the cost of energy we delivered in the shantytowns that for 2021 is not being paid still by the government. And in addition to that, we should reach an agreement in connection with the debt or with -- or the amount owed to CAMMESA because of the past. So we have these three different agreements we are discussing with the government, but we have no clue on timing or even the amount that this agreement could involve.
Ezequiel Fernandez: That’s right. I would just like to go back to my first questions regarding the goodies. If we go to page 7 of your presentation where you have the energy sales breakdown for the first quarter of 2021. On that pie chart in the bottom left you have 17% marked in purple as industrial clients. Are those the goodies or the goodies make up for more or less than that?
Leandro Montero: They are the goodies.
Ezequiel Fernandez: Yeah, those are the goodies? Okay, perfect. That’s it. That’s all from my side. Thank you very much.
Leandro Montero: You're welcome.
Operator: This concludes our question-and-answer session. At this time, I would like to turn the floor back to Mr. Montero for any closing remarks.
Leandro Montero: Sorry we have certain -- some questions from the web, we would like to answer. We are going to read one question we received -- or two questions, but they are on the same topic. So we are going to read the questions for everyone. 
Unidentified Company Representative: Hi, everyone. Hi. Good morning. And thank you for questions. Could you provide us an update on the change in control of the company is there a realistic time line for when the regulator could approve the transaction?
Leandro Montero: Okay. Well regarding the sale of the controlling stake of the company as you mentioned is under the approval of the regulator they have 90 days since the last information is provided to the regulator and they can ask any information they want during the period they want. But all the information asked by the regulation till now has have been answered on time. So according to that information maybe they have more than 60 days from now to approve the sale of the controlling interest in Edenor. But we have no idea or no time line at least from the regulator in order to know when the sale could be approved. It could be this week or it could be in two months or three months. 
Unidentified Company Representative: So we have no more questions.
Leandro Montero: At least from the web page.
Operator: We have no more questions from the phone side as well. This concludes our question-and-answer session. At this time, I would like to turn the floor back to Mr. Montero for any closing remarks.
Leandro Montero: Okay. Thank you very much and thank you all of you for joining this conference call. Please keep safe you and your family and healthy as far as you can. Have a good day. Bye-bye.
Operator: Thank you. This concludes today's presentation. You may now disconnect your lines at this time and have a nice day.